Philippe Salle: Good morning, everybody. Thank you for joining us this morning for our '24 financial results. I'm with Jacques-François, the Group CFO. So on Page 3, of course, you have the normal disclaimer. There is nothing new on this one. So on Page 4 on the agenda, today, I will share with you some key messages. Then I will go on the business highlights on 2024. Jacques-François then will take the lead for the '24 financial results, and then I will come back with key takeaways. And we're going to take some Q&A after that. So with the highlights first. So let's start on the page, which is #6. So first, on Q4, the -- I think the good news is the commercial activity in Q4, as you can see, the Q4 book to bill, in fact, is very strong, above 110% and stronger in fact than Q4 2023. We signed, in fact, a lot of multiyear contracts. It's both renewals in terms of contracts and wins. In the second point, we have 2024 revenue organic evolution. Operating margin and free cash flow is roughly in line with the outlook that we have communicated in October, which I think is very important in terms of confidence. In terms of M&A update, we finalized the sale of Worldgrid, and it has been done in the year of 2024. And we received the cash, in fact, before the end of the year. As you know, in November, we received a nonbinding offer from the French state for the potential acquisition of, what we call, the Advanced Computing activity. And we have launched the sales process of the Mission Critical System. In fact, this month in March, when we -- if we have the right level of price, we will probably sign something during the summer, foreclosing probably at the end of the year or beginning of next year. Finally, on the right column on the slide, I think it's very important to understand that we are now opening a new chapter. First, we have successfully closed the financial restructuring. It was done on December 18. Then we had a credit rating of B- with a stable outlook on our corporate bond. And then there is now the transformation plan that is underway. So in fact, when I joined the company, I launched in December a strategic review, plus a transformation plan. And in fact, I will convey at Capital Markets Day with Jacques-François and the top management in May, it will be on the 14th, where we are going to reveal exactly the strategy '25, '28 and the business plan for the next 4 years, for '25 and then the next 4 years. If we go on the Page 7 on the 2024 financial performance. So first, in terms of sales, we are at €9.6 billion. It's roughly organically down by 5%. We can say roughly that the market was around minus 2%, so it means that we have suffered a little bit more than the market around 3 points. And this is a normal situation with the instability that was with Atos during the year of 2024. If we deep dive between the 2 business units that we have, so Eviden is roughly at minus 7% and the Tech Foundation, around the minus 4%. In terms of operating margin, around €200 million, which is roughly 2.5% of sales, it's probably the bottom for us. Surely, the bottom, I think, we're going to rebound already in 2025. If you compare versus 2023, first, there were some costs, in fact, in 2023 that we put under the OM for the separation that is no longer an option, and it was more -- it was a circa roughly €100 million. And also, we had -- we made some provisions, in fact, in 2024, what we call, on the red or black accounts earned €40 million. The group free cash flow is minus €2.2 billion. You have to understand that we completely stopped, what we call, the working capital optimization, and it has an impact roughly of €1.5 billion on the cash. And we have also higher CapEx from -- coming from the HPC. That's a one-off. It's not going to be repeated, in fact, in 2025, and it was around €200 million plus. That has affected the cash flow of '23. If I go now on Page 8 for the order entry and the commercial performance. So it's roughly €8 billion. And as I said, €2.7 billion in Q4, I think we have been able to see a good rebound on the Q4 activity and also because most of the clients were waiting the end of the financial restructuring. In fact, we signed a lot of contracts in December. You have -- after that by business line, Eviden has a book-to-bill, so in Q4, at 111% and roughly at 88% in -- during the year for 2024. And Tech Foundation, the Q4 was at 122%, which is quite good performance and a book-to-bill around little bit below 80% also for the year '24. We -- I put some examples of what we have been able to negotiate during the Q4 in banks, in public sector, car rental company and health insurance. If we go on Page 9, so the revenues by regions. As you can see, we are quite balanced finally between North America, U.K., Benelux, what we call Central Europe. It includes Germany, Southern Europe and what we call also growing markets, which is Latin America, Africa, Middle East and Asia. Let's deep dive, let's say, a region by region and let's start with North America. So in fact, in the North America, the revenue was minus 2% -- minus 12%. It has been quite a difficult environment. Probably, for me, I was in the U.S. last week, I think that a lot of, let's say, U.S. corporation were more sensitive to the financial situation of Atos, and that's why we lost some of the -- I would say, some contracts in this area. But the good thing -- the good sign that we have, in fact, some of them are restarting to renegotiate some contracts with us, which I think it's a good sign for 2025. On Page 11 in the U.K., also, it has been quite tough, but we've also decided to stop some contracts. And remember also that we have the BPO activities mainly located in the U.K. And this one is, in fact, a double-digit decline. Benelux and Nordics on Page 12, quite health growth at around 5%. It's also done with a good performance with Eviden and an HPC that was sold in Denmark. And the Tech Foundation was slightly declining with some contract completion. Central Europe, which includes Germany, it's roughly minus 2%. We had roughly a small decline for both Eviden and Tech Foundations. And we have also a scope reduction, in fact, in some sectors. And you know that, for example, Germany in the automotive sector is suffering quite heavily. On Page 14, Southern Europe, which is mainly France and, in fact, Spain, we have a slight decrease compared to competitors. Nothing to say particularly in this region. And finally, on the growing markets, it -- of course, it has been -- so it's on Page 15, it has been also driven by the Olympics because the Olympic contracts in this region. So we have a strong growth on Tech Foundation because of the Olympics. And Eviden, we had some declines, but it's also because the base is not really comparable with the HPC as we have done quite a good year in 2023. Now to finalize before I give the floor to Jacques-François. I think the good news is the attrition rate on Page 16, as you can see, it's around the 15%. So compared to a normal year for us, so there was not leakage of employees in the company. And I think it's a good sign to see that, finally, of our workforce has been able to stay with the company. And we are not aiming to probably decrease this attrition rate in the future. The retention of the key employees also is very important at 92% which is important as it is the workforce that is driving the group going forward. With now, I give the floor to Jacques-François to give you the highlights of the financial results.
Jacques-François de Prest: Thank you very much, Philippe, and good morning to you all. So our consolidated financial statements have been established, as usual, on a going concern basis. All the numbers I will comment upon today are in euros. And I will give you, of course, a snapshot of our key financial numbers for '24. So as Philippe just commented, the group revenue was €9.6 billion in '24, down 5.4% organically compared with '23, with Eviden down 6.7% and Tech Foundations declining by 4.1%. Group operating margin was €199 million, representing 2.1% of revenue, down 200 basis points organically compared with fiscal year '23. Free cash flow was minus €2.2 billion for the full year, largely explained by the end of one-off working capital optimization actions which resulted in a €1.5 billion decrease compared with December '23 as well as by higher CapEx linked to HPC contracts. The nominal value of our debt -- the net debt post financial restructuring was €1.2 billion. As you can see in our accounts, the book value of our debt in IFRS was actually €0.3 billion because it included an IFRS 9 debt fair value treatment, which reduced its value by nearly €1 billion, €963 million, in order to reflect the mark-to-market. This €963 million will be amortized in subsequent years. Net loss group share was €0.2 billion, primarily reflecting a €2.7 billion financial gain related to the financial restructuring of the group, a €1 billion income from the IFRS debt fair value treatment and a goodwill and other current asset impairment charge of €2.4 billion. Let me guide you through our revenue evolution in 2024. Our revenue evolution is explained by 2 main drivers. Firstly, the organic revenue decrease of minus 5.4%, as Philippe just said, driven by previously established contract terminations or scope reductions as well as market softness in key geographies. Secondly, of course, the scope changes over the past years, with the divestitures in '23 of UCC, EcoAct, State Street joint venture and, to a lesser extent, Worldgrid at the end of 2024. The organic revenue evolution percentage is in line with the business outlook we provided in October. This leads to a full year revenue of €9.7 billion. Regarding our profitability, the group operating margin was €199 million, representing 2.1% of revenue, down 210 basis points compared to '23. As a general comment, the margin decrease comes mainly from 2 one-off items. Firstly, the allocation to the business of €103 million additional SG&A. In '23, these internal costs because they were unusual, abnormal and infrequent, because they're related to the separation project that was conducted at that time that were classified below the operating margin in the other operating income and expense line of our P&L. And secondly, circa €40 million of provision for underperforming contracts following negotiations with customers. So now per business line. Eviden's operating margin was €90 million, representing 2% of revenue, down 350 basis points. Beyond the allocation of SG&A costs representing €48 million, profitability was also impacted by revenue decrease and lower utilization of resources. Tech Foundation's operating margin was €109 million, representing 2.2% of revenue, down by 70 basis points. The business benefited from the positive impact from the continued execution of the transformation program and the accelerated reduction of underperforming contracts. That was offset by higher allocation of SG&A costs to the business for €55 million for Tech Foundations. I will now walk you through the rest of the P&L. Nonrecurring items were a net expense of €2.9 billion, and I will comment upon the key elements there. Firstly, reorganization costs amounted to €119 million, a strong reduction compared with the €696 million incurred last year. Reorganization costs include notably the workforce adaptation measures for €56 million compared with €343 million in '23, as the group limited restructuring expenses in order to manage its cash position during '24. It also includes separation and transformation costs for €42 million related to the last cost of the legal carve-out, which was launched in '22 as part of the separation project. As a reminder, these carve-out costs amounted to €353 million in '23, about 1/3 being internal costs and the rest being mostly external consulting and legal costs. Secondly, rationalization and associated costs amounted to €37 million and corresponded to the continuation of the data center consolidation program. Thirdly, goodwill and other noncurrent asset impairment charge amounted to €2.4 billion. I'm sure you all know, but just to make things clear, I remind you that this charge is a noncash item. Impairments amounted to €1.5 billion for the first half of the year and €0.8 billion in the second semester, reflecting the decrease of the group's enterprise value, which takes into account a lower fair value of the financial debt and a lower market capitalization. Remaining goodwill on the balance sheet at the end of the year amounted to circa €600 million. Finally, in '24, other items were a net expense of €288 million. It included €74 million of net capital gain related to the sale of Worldgrid, offset by additional losses recognized on past transactions. It also included the reassessment of onerous contracts that were accounted for in OOI in previous years, €460 million, settlement and legal fees related to major litigations for €96 million, current asset write-off for €78 million and net cost of pension and early retirement programs in Germany. Net financial income amounted to €3.1 billion in '24 compared with a net charge of €227 million in '23. This increase results from higher interest rates, increased growing on our RCF as well as interest paid on the interim financing and on the new debt structure. Secondly, net financial gain amounted to €3.5 billion in '24. This topic is so important, we have added the page, on the next page, to elaborate and explain the financial impact of the debt restructuring. Let's go through that. As you can see on the screen, the €3.5 billion is made of 4 main elements. The largest one to the left is recognized -- is a gain recognized for €2.8 billion upon the conversion of the debt into equity. Then there is €965 million income, which was recognized following the fair value treatment applied on our debt according to IFRS 9. This amount will be amortized in subsequent years. An expense of €45 million related to the issuance of the warrants was recognized as well as the cost and fees of the financial restructuring amounting to €165 million. Thirdly, in '24, other financial expenses amounted to €221 million. It included €78 million of exit fees on interim financing loans; a lease liability interest of €36 million, higher than in '23 due to higher discount rates; pension-related financial expense of €30 million; net foreign exchange loss, including hedges of €29 million; and prior year transaction costs, which were fully amortized in '24 in the context of the financial restructuring of the group for €15 million. The tax charge for '24 was €214 million, increasing by €102 million compared with '23. This increase was primarily driven by a €59 million valuation allowance on DTA recognized in past years, reflecting the latest business plan of the group and reduced tax level income perspective. And on top of that, €37 million of nonrecoverable withholding tax paid on dividend distributions. Turning now to our free cash flow statement. Free cash flow was minus €2.2 billion in '24. Let me highlight the key elements there. Firstly, the free cash flow for the year reflects the end of the one-off working capital optimization actions for €1.5 billion compared to December 31, 2023. Details of these working capital actions will be shown on the next page. Then capital expenditures increased by €239 million, reflecting increased investments in client projects, particularly for a significant investment in the energy-efficient exascale technology. So as we said before, we are no longer doing any one-off actions to optimize our working capital. The €390 million, you can see here to the right, consists only of customer payments received in advance of the invoice due date. I insist, we have not given any discount for this cash in advance nor have we orchestrated it. This comes purely from large public sector companies -- customers in various countries, various industries. As a reminder, working capital optimization amounted to €1.8 billion at the end of December '23. So logically, the impact on this year cash flow statement was minus €1.5 billion. Going forward, our intention is to put in place measures to improve our working capital in a sustainable and recurring manner. The total of reorganization, rationalization and associated costs and integration and acquisition costs reached €256 million compared with €660 million in '23. Indeed, the group limited restructuring expense to manage its cash position in '24. Cash out related to other changes amounted to €504 million. This amount included costs incurred on onerous contracts, €466 million for the most part in relation to the contracts that were accounted for in other items in previous years. It also comprised expenses related to financial restructuring for €226 million, out of which €110 million of external adviser costs, €38 million of lender fees and €78 million of exit fee on the interim financing we had in '24. The litigation costs, including the cash disbursed to settle a major litigation are also reported on that line. In conclusion, the group reports a negative free cash flow of minus €2.2 billion in '24, reflecting the end of one-off working capital optimization actions for €1.4 billion -- €1.5 billion and higher CapEx linked to HPC contracts for €0.2 billion. The net cash impact resulting from net disposals amounted to €162 million, mainly relating to the net cash proceeds generated by the Worldgrid disposal for €232 million, including fees and disposals. This also included the write-off of a receivable on a past disposal. To conclude on the cash flow statement, let me spend a moment on what was the impact of the capital increases of our net debt. Following the successful closing of our financial restructuring on December 18, we have restored our liquidity profile and reduced significantly our debt. This translated into €145 million of new money equity raised from the rights issue as well as €2.9 billion of equitization of existing financial debt. The total net debt for the group amounted to €275 million, including €965 million IFRS 9 debt fair value treatment, which will be amortized in subsequent years. As a reminder, before this IFRS 9 debt fair value treatment, the nominal value of our debt amounted to €1.2 billion. The group did not pay dividends in '24. The numbers you see on the screen related to the withholding tax paid by certain subsidiaries on internal dividend distribution and dividend paid to minority interests. To conclude my presentation, I would like to present to you our new financing structure and maturity. Cash, cash equivalents and short-term financial assets at year-end were €1.8 billion, meaning we have sufficient liquidity to operate at midterm and to execute our business plan. As a reminder, the €440 million of revolving credit facility is undrawn at the end of '24. Consequently, our gross debt at December '24 is €3.1 billion. You can see on this slide the breakdown between bonds, loans and RCF. We have no maturity before December '29, with a first lien debt of €1.8 billion, including the RCF having a maturity in December '29, the €1.5 billion -- lien debts of €1.9 billion in December '30 and the second lien debt of €0.5 billion in December '32. All these amounts include the debts related to the interest in kind, PIK. I will now hand over back to Philippe.
Philippe Salle: Thank you, Jacques-François. So I think we are now ready for this new chapter for Atos. Now that the financial restructuring has been completed in December, we can now focus on the transformation journey, which is very important. And the idea is to provide highest level of support to our customers through innovation and quality. So first, we have a new governance in place. We have now a combined Chairman and CEO role, and we have a reduced Board of 8 Directors with a strong and recognized domain expertise. Two, there is a transformation plan in motion. In fact, I launched early December a strategic review. And also, there is a launch of a transformation plan during the Q4 last year. And this will give a lot of results in the course of '25 and '26. Three, I think the leader team now is appointed. The top 20 is almost complete. And, what I call, the management team, around 200 people now are ready to deliver the results we are looking at for '25 and the next years. And finally, as I say, there was a strong commercial activity in Q4, and we are quite confident also that we will continue to have some good results in the course of '25. So as I said in my introduction, I will give you -- we will meet you on the 14th of May in France, in Paris. We don't know exactly where is the venue, but we will come back to you and the timing. I will present with Jacques-François and some of the top management my vision for Atos for the '25, '28 plan, so it's a 4-year plan. This year, plus in the next 3 years, we will give also guidance for '25, and we will also give a guidance for '28. With this, operator, we can start the Q&A session. Thank you.
Operator: [Operator Instructions] We will now take the first question from the line of Frederic Boulan from Bank of America.
Frederic Boulan : A couple of questions for me. First of all, in Q4, if you can give us any sense of -- when you look at the operating performance of Eviden and Tech Foundations, what was the impact of kind of contract termination within those -- within the kind of organic revenue decline? Specifically, you point out some HPC delivery in Denmark and Germany. Would be great here if you could also give a bit of quantification around the positive impact around those. And then, more broadly, when we look at the trajectory in the next couple of years, the pre-restructuring, you had this kind of very useful flow chart to kind of paint the picture of where you plan to be in the medium term in terms of leverage, cash flow, et cetera. So I understand, you will give us all that detail on the 14th of May, but it would be interesting to understand at least for '25, any thoughts you have around free cash flow, any specific elements you want to call out. You mentioned margin should probably not worsen further, but anything else you can say in terms of where we're trending versus the previous plan and what you've presented to debt holders versus the kind of current leverage target. I think you had a target of €1.7 billion pro forma debt at 2027. So any kind of color you can give on that would be great.
Philippe Salle: So probably on the second -- I will let Jacques-François answer on the first 2 questions. But on the -- as I said, I'm not going to give any guidance. You can try -- you can understand this. It's normal. But I will wait May to give the guidance for '25 with a business plan for '28. You said that, I think, the lowest point in terms of margin and profitability operating margin was touched in '24. So for sure, we're going to do much better in '25. But except this one, I'm not going to comment more than that, unfortunately. So you need to be a little bit patient, May 14 is in 2 months. You will have a full view of where we think we can land in fact in '25 and where we're going to head for the next 4 years in terms of strategy and also in terms of financial results. Jacques-François, do you want to comment on this?
Jacques-François de Prest: Yes. Frederic, I would say, regarding the top line, maybe a word of the Q4, which is a quarter of contrast because on one hand, as you pointed out, the revenue evolution was degraded due to the contract terminations or the scope reductions, both in Tech Foundation and Eviden, but more in Eviden than in Tech Foundation. Although on the other hand, we have seen a rebound on the commercial activity with a very significant level of order entry. If I look at the period between the 19th of December and the 31st of December, so the last 2 weeks of December, we have signed a deal for €1.6 billion only. So that makes our book-to-bill of 117% for the Q4, which is, we believe, a regain of the momentum regarding the commercial activity.
Frederic Boulan : Anything you can share around the impact of HPC?
Philippe Salle: Can you elaborate a bit on the question?
Frederic Boulan : Yes. You said in Denmark and Germany, you had some large delivery that's helped in the quarter. So that's great, but it would be interesting to understand what's the kind of scope of those wins.
Philippe Salle: Yes. We have -- on the Denmark, I think we made a press release explaining a big HPC deal in the course of '24. And on Germany, this is the very big exascale, I think the first European exascale which is the Jülich project, which is still being developed for which there was a high CapEx in '24. And there will be still news on this project in '25.
Operator: We will now take the next question from the line of Laurent Daure from Kepler Cheuvreux.
Laurent Daure : I have 2 questions. The first is on the contract termination. Could we have an idea of the impact it could have on 2025 versus the revenues you generated in 2024? To have the full year impact would be useful. And I was also wondering within the large customer in the next 2 years, do you see additional risk of losing further business? Or do you think the situation has now stabilized? And my second question is for you, Philippe, more precisely. You've been in the group now for a few months. What's going to be your main challenge in the next 2 to 3 years compared to your initial expectations?
Philippe Salle: Okay. I will take part of the first one and the second one, of course. We don't expect -- there is only one client at risk in the U.S. But in fact, we're not going to lose him. I had some news yesterday night. We probably will reduce the scope, but we're not going to lose the client finally. So we don't expect, in fact, any loss at least in H1 for the moment from the tender that we have right now. We have probably more good news than bad news versus '24. So I'm quite confident, in fact, that '25, we're not going to lose that much contracts versus what happened during the year of 2024. Now to the expectations. I think it's important, cash is king for me. So I think I said to the team that it's important that cash is freedom. It is the possibility for us to decide on our own future. So we're going to have this exercise to make the sales going back to a positive territory, which I think is very important for me, and that's why I'm pushing very hard right now on the sales team. And we have Clay, the Chief Growth Officer, with all the geos that he is on the job. And this is to make sure we're going to be -- to have a rebound in -- starting in '26. And then the second one is to adapt the cost versus the size of the company to make sure that we have, let's say, a normal profitability versus our peers. So it's on the short term. For me, it's more important to save costs and make sure we deliver free cash flow. And we will be a positive free cash flow starting in '26. Exactly the plan, in fact, that we issued in September was showing positive free cash flow starting in '26, and I definitely think it will be the case. And after that, it's a combination between growth and profitability. So that's really what I'm looking at. Usually, the way I manage the company, it's always a vision, organization, people and transformation plan. So we launched the vision. It will be finished by April. The transformation plan has been launched also in Q4. In fact, there was already a start of a transformation plan before you arrived, and I accelerated it. And we will show it -- I will show it, in fact, in May. The organization is in place. It has been communicated internally. We have now the people. The top 20 is in place, also like the top 200. So now we are in the -- finishing the strategy and starting, what I call, the executing model, which is, in fact, will be starting in April. So for the first question, which was on the top line, I think Jacques-François, I will let you answer.
Jacques-François de Prest: Yes. Philippe said earlier that we are not going to give a precise guidance for '25 today because there is this meeting point in May at the CMD. However, logically, what I can say, you see on our press release and you will see in our accounts that, indeed, the Q4 numbers, it's a reduction in revenue versus the prior year, let's say, of €300 million in total, which is €150 million for Eviden, €150 million for Tech Foundations. So logically, the full year impact will keep going for the coming quarters. This being said, for the purposes and because this is what we believe for the purposes of issuing and completing these accounts for fiscal year '24, we have confirmed and we do confirm our view for the cash level on the operating margin level in the assumptions of the business plan, which was used for the accelerated safeguard proceedings, which still gives you an idea of the bottom line.
Philippe Salle: Yes. It's very important to understand, we are cash focused. I think it's more important than the rest. So the business plan of September gives a negative cash flow this year. Because of the restructuring plan, we are also continuing and accelerating, in fact. But that the -- of course, we take this as a challenge, and we will try to probably do better.
Laurent Daure: And on the client side, you still have Siemens, I guess, as your largest clients. I'm just wondering if you -- what happened in the last couple of quarters may have an impact when you have to renew some pieces of the contract?
Philippe Salle: Well, I had a longer discussion, in fact, with the CEO. So we are -- I would say, in contracts, there is no -- I know that there was a paper saying that we're going to lose anything from Siemens. This is not the case. So we continue to have healthy relations. I will be also in Germany probably in April. And in fact, there is a contract in place still for the next 2 or 3 years. So we are fulfilling completely the contract.
Operator: [Operator Instructions] The next question comes from the line of Adam Megyeri from Bank of America.
Adam Megyeri : I wanted to ask if you could give some comparison on the one-off items in the free cash flow compared to what was guided in the safeguard plan. If I look at reorganization and one-offs, it seems like sort of add up to €757 million compared to around the €600 million figure in the business plan. Is there any timing difference here? Do you expect the kind of total numbers for the year to stay the same as what was previously guided? Or any comments would be helpful as to how these numbers compared to the previous plan.
Philippe Salle: So I will let Jacques-François comment. In fact, in the business plan for '25, it was roughly in the range of €400 million. We expect roughly to be there. I will try probably to accelerate a little bit probably the restructuring plan for '25 just because I want to make sure we're going to hit the numbers in '26. But to be in the range of €400 million, it's a little bit probably above, it's possible. But that we know it's not going to be a big change versus the business plan we had in September. Now for '24, I'll let Jacques-François answer.
Jacques-François de Prest: Yes. Thank you, Philippe. So Adam, the -- if you look at it facially, the business plan, which we have been using for the last month was without this working capital optimization actions. So that's the main big, big difference. Once you neutralize that, we're actually quite close from what was guided and better off actually. So the underlying cash flow generation -- or consumption, rather, was €783 million for '24. And it comes out that we end up the year at €735 million. So obviously, there are variations line by line, and I won't bore you with the details line by line. But basically, we have a positive impact of working capital. And we have no -- how can I say, if the -- if underlying your question is the fact of whether we will be worse off because in '25 -- because we have been better off in '24, that's not the case. So it's comparable. There is nothing which has been pushed down further to '25. And we start the year, I can say, completely clean in terms of cutoff and items in '24 versus '25. Does that answer your question, Adam?
Adam Megyeri : Yes. That's great. And then line more question, if I could, please. Just on the evident Q4 book-to-bill, 111%, you mentioned some of these are multiyear contracts. Is there any chance you can give some guidance as to what the average contract length is in that Q4 book-to-bill number?
Philippe Salle: You know what? Usually, the large deals is on 4 years. I would say that is above €30 million per year. The length is on 4 to 5 years, on average, for Atos. It's true for Eviden. Actually it's a bit probably longer for Tech Foundations. After that, for the small deals, it's difficult. Usually, it's less than 1 year.
Adam Megyeri : So within the Eviden number -- even within the Eviden number, excluding Tech Foundation, there will be several multiyear contracts.
Philippe Salle: Exactly, exactly. Yes.
Adam Megyeri : And then when you calculate this book-to-bill ratio, is that all just on an annualized booking number? Or how do you then compare it to revenues in the quarter?
Philippe Salle: Yes, yes. This is on an annualized basis, yes.
Operator: There are no further questions at this time. I would like to hand back over to the speakers for closing remarks.
Philippe Salle: Okay. Thank you again, everybody, for this time. You can still ask a question if you want. I think it's very important to say that '24 is over. I think it has been a very painful year for the company with a lot of ups and downs, news and concerns and whatever. I think now we are back to a normal company with a level of debt that is, I think, decent. We will, let's say, make -- the leverage will decrease now and that's our goal. And it will decrease, in fact, already starting in '25 and much more in the coming years. As I said, the team is ready. The strategy will be almost finished. I had the Board yesterday in fact, where we had a lengthy presentation. And the transformation plan is in place. And it's going to yield, in fact, some results at '25. So I'm quite confident. I think we have a very strong company. If I can say, when I joined the company roughly 5 months ago, for me, the strength of this company is the client base. That is unbelievable. I've been already touring Asia, in fact, Europe, in U.S. And I've seen a lot of clients. So I think I'm quite confident that now these clients want Atos to be back. And we have a strong also workforce, and that was patience that have a lot of skills. I think we are probably sometimes over delivering, which I think is great in terms of quality, which I think is a good sign. And definitely, I think it gives quite a good path for the future. So I'm quite confident on the rebound of Atos. It will be the revival of this very nice company. And as I said, I will give you more flavor of what we're going to do in the coming years in May. I don't know if there are, operator, any other questions or remarks from anybody?
Operator: [Operator Instructions] There is no questions at this time.
Philippe Salle: Okay. Then thank you again for your time and attention. Have a good day, and I will see -- first, I think there will be the Q1 results by the end of April. And then I will see all of you, I hope, in May in Paris. Have a good day. Bye-bye.